Ivan Vindheim: Good morning, everyone. My name is Ivan Vindheim and I'm the CEO of Mowi. It is a great pleasure. I wish you all welcome to the presentation of Mowi's first quarter results of 2021. Also this time around digitally. On that note, I hope you are all doing fine out there under the prevailing circumstances and that we can all meet again physically in not too distant future. With me today to walk us through our financial figures and fundamentals I have, as usual, our CFO Kristian Ellingsen. And after the presentation our IRO, Kim Dosvig, will facilitate a Q&A session via e-mail, where you can submit your questions in advance or as we go along. Please refer to our website at mowi.com for the necessary details. The disclaimer, I think, we leave for self study. Then highlights. Overall, I would say the first quarter turned out to become a reasonably good quarter for Mowi, both operationally and financially. Despite the pandemic, we have managed to keep our more than 200 farms and 35 factories in 25 countries, running close to normal by means of maintaining the strictest biosecurity measures all across our business. At the same time, we have also managed to keep our people safe. So a big thanks to all our 12,200 employees that have made that happen. It's much appreciated. Last time we met, we said we expected increases prices in -- increasing prices in the first quarter on lower season supply and strong demand, partly driven by Lent and Easter season. This came indeed true and it's therefore very encouraging to record the highest quarterly operational EBIT since the start of the pandemic of €109 million, particularly taking into consideration a two digits global supply growth of 14% year-over-year. That's evidently a clear indication of a very strong underlying salmon market, notwithstanding the ongoing pandemic and the market disruptions it brings about. For order's sake, the operational EBIT of €109 million is also in line with the trading update of the 20th of April. The increase in profit quarter-over-quarter is not only explained by increasing prices, farming volumes of 125,000 tonnes were also a record high for our first quarter. Despite having our share of the issues, I would, in general, describe biology as reasonably good in the quarter, with relatively good growth conditions and thereby good growth. Blended farming costs of €4.20 per kilo was also good in the quarter and substantially down from the €4.62 per kilo we had in the corresponding quarter last year and in the lower end of previous quarters. Bear in mind that the first quarter of last year was highly impacted by low volumes and high released from stock costs, driven by elevated mortalities in 2019, especially in the second half of the year. For sales and marketing part, we had yet another impressive quarter with record high first quarter volumes of 62,000 tonnes and earnings. On the back of, among others, the pandemic-driven shift you have seen from foodservice to retail and supporting tailwinds from Lent and Easter season. Feed and feed numbers, on the other hand, were impacted by low season in the first quarter, with all that entailed. Last but not least, the Board of Directors has declared an ordinary dividend of NOK 0.77 per share, equivalent to 50% of underlying earnings per share, quarterly dividend for order's sake. So much about highlights for the quarter then over to key financials. Kristian will go in depth on financial figures under his session. So to not disrupt the course of events, we will just touch briefly upon the most important ones now. Turnover was a record high for our first quarter of €1.022 billion, equivalent to a top line growth of 16% year-over-year. This is explained by, as already said, record high first quarter farming volumes of 125,000 tonnes, up as much as 51% year-over-year. Prices in turn, contributed negatively with an overall price achievement, down by 19% year-over-year. Recall that although prices were increasing during the quarter they came from a very low level. Contrary to the pre-pandemic prices, we saw in January and February last year that were at record high levels. Operational EBIT of €109 million, we have already commented on. Underlying earnings per share in the quarter was €0.15 an annualized return on capital employed was 12.7%. In terms of regional margins to the value chain, it was yet again a mixed bag, where Norway, Scotland and Ireland stand out as the margin winners, whereas Canada was still in a loss-making territory. The margin spread between the regions is as you know to a large extent explained by cost differences and will be duly revisited when we go through the various business entities. Then, prices. As already said, it was as expected and encouraging first quarter price-wise with rising spot prices in all markets on lower seasonal supply and strong demand, partly driven by lent and Easter season. We also expect good prices going forward, provided that the pandemic does not escalate. Kristian will elaborate more on prices and supply/demand under his session. Then, our own price achievement. Overall, it was 5% below the reference price in the quarter. And I guess, you could say, it varied from great to rather disappointing. To start off on a positive note, we had a very good relative price achievement for salmon of Scottish origin, driven by good contracts and good spot price achievement. For salmon of the Norwegian origin, it was a rather disappointing price performance, mainly driven by winter sores and resultant downgrading. Contracts were neutral in the quarter more or less. In terms of winter sores, we managed well for a good while this year, until it unfortunately escalated in March. We have also had some issues in April, but it has diminished as sea water temperatures have picked up. As the name clearly indicates, winter sores are a bacterial infection that primarily affects salmonete fish in seawater during cold periods, conditions under which its main causative agent Moritella viscosa becomes more pathogenic. Relative price performance for salmon of Canadian and Chilean origin, were also below the reference price. The former due to winter sores and maturity issues and the latter due to Brazilian prices substantially lower than Urner Barry prices in the quarter, in addition to some downgrading. Then, the EBIT waterfall. Overall, it was an unusual stable development in operational EBIT year-over-year, €109 million versus €109 million. It doesn't get any closer than that, but the mix is different and the same goes for the backdrop of the quarter. Bear in mind that the COVID-19 pandemic, escalated in mid-March last year. So to a large extent, we are comparing our first quarter profit numbers this year, with pre-pandemic numbers. Performing that has resulted in €34 million lower EBIT, due to lower prices of €138 million in absolute terms. On the other hand, lower costs and higher volumes have contributed positively with €53 million and €51 million respectively. For Consumer Products, we have yet again benefited from our integrated value chain with our 21 value-added factories, all around the world and the shift we have seen in demand from foodservice to retail. Year-over-year operational EBIT is up by €30 million. Other entities are more or less unchanged profit-wise. Then, it's time to address the various business entities. And as usual, we start with our largest and most important one, Mowi Norway. Operational EBIT was €73 million in the quarter, down from €84 million in the comparable quarter last year. EBIT margin was €0.98 per kilo versus €1.66 last year. As the graph clearly demonstrates the drop in profit is caused by lower prices only. Both lower costs and record high first quarter volumes contributed positively. As already said under the walk-through of the relative price achievement for Norway we have had issues with winter sores and resultant downgrading in March which lingered on in April before they diminished as seawater temperatures have picked up. We have also had some gill issues and knock-on effects in that regard in mid-Norway in the quarter. Other than that biology and growth conditions have been reasonably good. For the second quarter we expect somewhat higher costs on lower volumes. Then EBIT per kilo per region. Margin-wise it was a mixed bag also this time around for our three regions in Norway. Region North stands yet again out as the best margin performer on good production and very low cost NOK 34 per kilo. Region South had a good quarter as well with a satisfactory cost. Region Mid on the other hand suffered from already mentioned gill issues and knock-on effects in that regard. In terms of winter sores and the magnitude of issues they have been increasingly burdensome the farther north we get. Then our Norwegian sales contract portfolio. Due to our positive market view last fall, we deliberately chose to have relatively low contract share for our Norwegian volumes this year i.e. 65,000 tonnes on a full year basis or 25% of our total volumes as we speak. In the first quarter contract share was as low as 21%. So far this has truly been a successful strategy. But for order's sake, we reserve the right to change this if we find it timely and opportune. In terms of prices, the remainder of the volumes for 2021 are in line with the recognized contract prices in the first quarter. Then over to Scotland and Mowi Scotland. Mowi Scotland had yet another great quarter with an operational EBIT of €27 million. This is substantially up compared to the same quarter last year on record high first quarter volumes and significantly lower cost. Prices are as you can see from the graph down. Both production and biology were good in the quarter. Other than that, there is not much to say about Mowi Scotland this time around the numbers they speak for themselves. For the second quarter, we expect somewhat higher costs as we harvest from sites outside the Isle of Skye carrying a higher cost level. Then Canada. For Mowi Canada's ports we had yet another loss-making quarter on very low prices and albeit it's being relatively stable high release from stock cost. The recently announced turnaround plan for Canada is progressing, but due to the length of the production cycle it will take time before this results in lower release from stock cost. Therefore, we expect high cost for Mowi Canada in the second quarter as well. Other than that biology and production were normal in the quarter for Canada. Then farther South in America; Chile, Mowi Chile turned a profit of €8 million in the first quarter after having recorded a loss of €10 million in the fourth quarter. This is owing to increased prices compared to the fourth quarter. That said, compared to the first quarter last year the prices are substantially down for Chile as well. Higher volumes and lower release from stock cost have on the other hand contributed positively year-over-year. The first quarter is summer season in Chile and this summer has been unusually warm and dry leading to more issues than normal related to low DO and algae. But all things considered, I think we have managed reasonably well though with some elevated mortalities. And now we are rapidly approaching winter time in this part of the world and presumably an easier biology. In terms of inventory, we still do not carry any frozen inventory. All harvested volumes have been sold at increasing prices. Then the time has come for Mowi Ireland and Mowi Faroes. For the salmon of Iris origin, we have had another impressive quarter with a margin of as high as €4.55 per kilo partly driven by overall sales and not so impressive margin of €0.48 per kilo. I guess you could say for our Faroes operation. But bear in mind that volumes were very low in the quarter resulting in high share of fixed costs. Mowi Faroes will go back to more normal volumes and costs from the second quarter onwards. In terms of biology and production there is not much to report this time. Things were reasonably good in the first quarter for both entities. From farming to our downstream business Consumer Products. As touched upon initially, the first quarter was a very good quarter for Consumer Products with an operational EBIT of record high €32 million on also a record-high first quarter volumes up from €2 million year-over-year. We saw as already said good development in demand partly driven by tailwinds from Lent and Easter season. Demand in retail continued to be very good on which we yet again have capitalized through our integrated value chain. And although extensive lockdown measures are still in place, we see that out-of-home consumption has started to improve in some markets. So we estimate the overall net demand impact from COVID-19 in the quarter to be quite neutral. Then our latest addition to the Mowi family Mowi Feed. The first quarter is characterized by low season for Mowi Feed with all that entails on low seawater temperatures in the northern hemisphere. And this year was no exception. Operational EBIT of negative €3 million is largely in line with the first quarter of last year of negative €1 million. The same goes for the quarterly volumes of 100,000 tonnes. Although, Brexit has caused some temporary startup issues, particularly, with regard to import certificates, I think, we have managed reasonably well so far. And overall Feed production has been satisfactory in the quarter. And the same goes for Feed performance. It has been very good in the New Year. Then Kristian, the floor is all yours so you can walk us through our financial figures and fundamentals. Thank you so far. 
Kristian Ellingsen: Thank you very much, Ivan. Good morning, everybody. Hope everybody is doing well. As usual, we start with the profit and loss statement where the top-line shows operational revenue of €1 billion up 16% from Q1 2020 on significantly higher volumes partly offset by the 19% lower achieved prices. Operational EBIT €109 million equivalent to return on capital employed of 12.7%, which is above the 12% target and thus satisfactory. Operational EBIT stable from Q1 2020, which is a good achievement given that COVID-19 has had a full impact on our numbers this quarter. And the effect of lower realized prices was offset by reduced farming costs higher volumes and improved earnings in sales and marketing first and foremost our Consumer Products division. Then a few comments on the items between operational EBIT and financial EBIT. We see a net fair value adjustment of biomass of plus €88 million this time around on higher prices at the end of the quarter. Income from associated companies, includes the gain of €53 million from the sale of the shares in DESS Aqua. And the rest is related to our associated company Nova Sea, where we are the largest shareholder with 48.5% of the shares. Operationally, Nova Sea had a good result of €1.63 in the quarter. That was somewhat above Region North in Mowi on margin on better price performance.  Yes. And then we move on to the financial position. Total assets are up approximately €150 million from the end of last year as we see of which increased fair value adjustment in the balance sheet explains approximately €100 million. Of the remaining movement, the acquisition of one farming license in Region North explains approximately €20 million. And I would say that the financial position is quite strong with a covenant equity ratio of 56%.  The cash flow was positive in the quarter with €185 million cash flow, which took the net interest bearing debt from €1.46 billion to €1.27 billion. Cash flow from operation as we see €169 million with a seasonal release of working capital in the first quarter. And we see that effect was partly offset by tax payments. Tax payments however lower this year due to lower earnings in 2020. And the cash proceeds from the sale of DESS Aqua contributed with €113 million, so quite a significant effect.  This overview of our financing is unchanged from Q4, our committed financing of €2 billion is unchanged and we have approximately €680 million in cash and undrawn lines. And we are comfortably within the covenant equity ratio and we have no earnings covenants.  Yes. When it comes to the cash flow guiding for 2021, this is unchanged for most items. However, tax payments taken somewhat down as we see here from €80 million to €60 million. Working capital tie up €110 million unchanged. We expect to tie up working capital related to organic growth including increased accounts receivable in sales and marketing on higher prices. CapEx €265 million unchanged and also interest €45 million unchanged.  Then over to market fundamentals, we start with supply as usual. Supply was 14% up versus Q1 '20, so quite a strong increase. That was higher than expected driven by Norway and Chile. In Norway, we saw a 16% increase as we see here. Good growth in sea more large fish and some farmers reached their MAB limits, also colder temperatures in February and biological challenges led to early harvesting.  Chile plus 8% as we see here. In Chile, the industry saw early harvest due to the Algal Bloom and risk mitigation also harvesting motivated by good prices. And early harvesting and mortality from the Algal Bloom has limited the biomass available for harvesting in the coming quarters. We see here that biomass is down approximately 21% at quarter end versus last year.  Then we take a look at the volume per market. And COVID-19 continued of course to impact trade flows and the market also in Q1. But as we saw some gradual reopenings in certain markets, we saw that the foodservice demand started to improve in the quarter. So we have a net demand in Q1 approximately neutral in Q1 2021 from pre-COVID-19 levels on a 20% to 25% increase in retail and foodservice down approximately 48%. So that means that while we had a negative net demand effect in the prior quarters we now have an approximately neutral effect.  Consumption in EU and UK increased 21%, good growth in retail. All in all, we haven't seen much re-opening so far in Europe in foodservice. Lockdown measures continued into the first quarter, which limited consumption from the foodservice segment. UK reopened the restaurants for indoor dining on 17th of May. So, we will see the effects from that now in the coming time. In the US, we saw an increase in volumes by 11%, continued strong retail sales, a gradual improvement in foodservice. 40% approximately of the population in the US, are now fully vaccinated. And further vaccination is expected to continue to reopen foodservice in the time ahead. And we see that retail is still good for salmon, which is very positive. In Asia, we see here that we had an increase, all in all by 6%. Good growth in Japan, Korea, also other Asia. In Japan, consumption was strong increased 24% year-over-year, still restrictions on eating out in Japan, but the big sushi chains were not materially affected due to increased takeaway capabilities. In Korea, we also saw a good growth, driven by improved retail and also foodservice demand. Other Asia, mainly due to strong growth in Thailand, increased demand from retail, also a gradual recovery in the foodservice segment. We see China, Hong Kong stands out minus 27% compared with Q1 last year. They are on the road to recovery in China, but still below pre-COVID 19 levels. And we are now currently seeing some more lockdowns in Asia, somewhat more challenging COVID-19 situation in some of the regions in Asia. There might be temporary slowdowns in foodservice, but that should be positive for retail. Yes. And then, we take a look at the price development over the quarter and also continuing into the most recent weeks. If we start with the quarter then the total effect quarter-over-quarter was that prices were down, as we have said already, minus 23% in Norway as we see minus 7% in Chile, back to plant adjusted for the higher airfreight and minus 12% in Canada. So, this corresponds well with the overall 19% decrease we saw in achieved prices from Mowi versus Q1 2020. But we see in the graph here, very positive that prices increased during the quarter. In Europe, we went from a NASDAQ price of €4.4 at the start of the year and ended the quarter at €6.81, so a strong development there of 50%. We have had a positive development also after quarter ended. For Canadian Origin, we had an impact of COV19 lockdown in Canada but prices have increased in the last weeks. And then, Europe and Chile prices are strong. The figures for Urner Barry came in this morning; Canada West €3.7; Chile €6.20 to €6.25. So, we continue to see a strong development in the American prices. And we have a very positive market outlook lower supply continued demand recovery, should be a very favorable combination in all regions. Yes. If we look forward and see how the supply growth is expected to be then for Q2, as we see here for the second quarter, we expect a negative growth of zero to minus 4% driven by Chile. They are expected to be reduced by between minus 21% and minus 25%; Norway between plus 4% and plus 7%. And also for the second half, we expect a reduction, negative growth between minus 2% and plus 1%. So, in other words we expect a much tighter market balance going forward. We expect a total 2021 growth of 1% to 4%. I guess the midpoint is around 2.4% here in the numbers. There are some roundings. So a tight market balance as we see it. In Norway, we have indicated a growth of 7% to 9% for the year. In Chile, the expectation is a volume decrease of 14% to 16%. When it comes to our own volume guidance, we maintain our 2021 volume guidance unchanged from the report we issued in the fourth quarter. So with that we have come to the outlook and the floor is all yours again, Ivan.
Ivan Vindheim: Thank you, Kristian. Much appreciated. That is time to conclude, before we wrap it all up with a Q&A session facilitated by our IRO, Kim Dosvig. As said a few times already, we are optimistic about the market prospects going forward. The market is the way we see it on the road to full recovery. Concurrently, we have built new markets gradually during the pandemic and the recovery of the foodservice segment after the pandemic we think will only bolster an already strong demand for the Atlantic salmon. Combined with a modest supply outlook for 2021 of 2% and 0%, the next 12 months, that bodes well for prices going forward. With Mowi's low contract share and integrated value chain, we are in a good position to capitalize on this. In terms of harvest volumes, we maintain our full year harvest guidance of 445,000 tonnes. And lastly, and as already stated, the Board of Directors has declared an ordinary quarterly dividend of NOK 0.77 per share equivalent to 50% of underlying earnings per share. Then Kim, I think we are ready for the Q&A session. So if Kristian can come up here on the podium. One, at least one meter from me. Okay, Kim, we are ready.
A - Kim Dosvig: That's very good. So we have some questions from the equity analysts. The first one from Carl-Emil, Johannessen Pareto. He has two questions. How do you expect the price achievement in Norway and the UK versus the reference price to develop in the second quarter? That's the first one.
Kristian Ellingsen: Yes. So maybe I can take this one. So we never comment on prices in advance. So – and that would also be illegal. So this is – so you have to play by the rules. So the answer is that we'll revert to this when we release our numbers in August after the summer.
Kim Dosvig: And his second question, do you expect the same volumes and margins in Consumer Products also after the pandemic?
Ivan Vindheim: We do not guide on future earnings and future margins. But the long-term target, ex branding is 5% for consumer products. So nothing has changed in that regard. But giving exact and precise guidance for the future that we don't do.
Kim Dosvig: Okay. Moving on to Christian Nordby in Kepler. He has a question on volume distribution. Is the volume distribution within 2021 part of a strategy that we can extrapolate into 2022 and beyond, or should we expect to see a more normal seasonal distribution in the coming years?
Ivan Vindheim: In terms of harvest profile?
Kim Dosvig: Harvest profile, right.
Ivan Vindheim: Yes. So the target is always to have it as balanced as possible. But that's always a challenge because of biology and Mother Nature. But that's always a challenge because of, biology and Mother Nature. But again, that's always the long-term target. So I guess, the answer is, we hope, that we are more balanced, yeah, in the years to come, than what we have been in the previous years. But I guess, it remains to be seen.
Kim Dosvig: And then, a follow-up question on that from Alexander Aukner in DNB. He has got two questions. The first one, on the harvest profile in the U.K, it seems unusually front-end loaded, any reasons for the high share of harvest in H1 versus H2 this year?
Ivan Vindheim: Well, it's a broad picture. First, we have been through a very good growth period in Europe, not only in the first quarter, but particularly in the third and fourth quarter of last year. In addition, we also have a strategy in Scotland to get out our volumes before the challenging third quarter season. So I guess, it's mixed, it's twofold. So -- but, it's ideal to put it like that, keeping more volumes than what you have to into the third quarter is never a good strategy in Scotland, because of high seawater temperatures. Bear in mind, that the temperatures in Scotland they are higher than what we are used to in Norway. And they also have more shallowed waters. And that doesn't help either.
Kim Dosvig: Okay. Then his second question is on, COVID-19. It seems like, you're guiding on retail sales to have a positive effect post-COVID-19. Do you expect further retail demand in 2021, on top of the growth already seen last year, or do you mean a general positive effect on long-term basis?
Ivan Vindheim: So -- yeah, so this is not to offend anyone, to start with that. But the demand for salmon has grown for more than 50 years. So in the long-term, I personally believe that, the COVID-19 is -- and now it's maybe an offense to someone, but that's not the intention. But in long-term, I personally think, COVID-19 is, just a bump in the road really. We will continue to grow the retail markets. We will also continue to grow the foodservice market. So the demand for the salmon will just continue in our view. And we will do our share to make that happen. The salmon ticks off all the boxes. So in addition, we also have the mega trends. And we are also elaborating more than, what we have done in the past. So this will just go on. That's our take.
Kim Dosvig: Okay, very good, moving on to, Nils Thommesen in Fearnley, he has a follow-up questions -- follow-up question on Consumer Products. How do you expect the margin development in Consumer Products for the remainder of 2021? Will we see similar margins, as we saw in 2020, or will the margins be diluted by foodservice activity coming back?
Ivan Vindheim: Yeah. I guess we touched on this question a few minutes ago. So we do not guide on future margins, neither for consumer products, nor for the rest of our business. But in general, on rising or increasing prices, Mowi will become more profitable. So -- but we have an integrated value chain. Sometimes you win in one part of it, sometimes in another part of it. But that the profitability will increase going forward. If the prices continue to increase, that part I think you all can expect and yeah.
Kim Dosvig: Okay. Then, changing topic, Alexander Jones from Bank of America, he has a question on branding. What has been the customer feedback, so far, on the wallet? And is this different in the different regions? And how does the pricing premium that, are willing to charge consumers are willing to pay, compared to your expectations?
Ivan Vindheim: Yeah. Again, we have to be a little bit careful about, what we talk about when it comes to prices and market strategy. So, this -- first we have business secrets. But second we also have some rules we have to play by. We have -- in general, we have increased our branding activities this spring. So, we are launching the Mowi brand in many new markets including bricks-and-mortars in the US in bricks-and-mortars in the UK. We also are launching in Belgium, Italy, partly in Spain. We are also addressing Chile, Brazil, Colombia. So, the activity level is increasing and the response in general is very good. But when it comes to pricing of products, et cetera that part we you must keep to ourselves at this point in time. But -- and it's not so easy for you I know to travel around and see what the prices in the shelf are. But I guess through some -- yes, through some help from your colleagues out there you can get the numbers. But the specifics we will not reveal on this webcast that would be wrong.
Kim Dosvig: Okay. And then a question from the investor community from Bjørn Wicklund. He is asking about feed, how should we model feed prices going forward among others taking into account that soybean prices have doubled in the past nine months?
Ivan Vindheim: Yes. So, temporarily commodities are inflated. So, the cost is increasing. But we have been through such periods previously. So, assuming that this is permanent, I would not do because all commodity prices have a tendency to revert to mean or to average. So, -- but in the short-term Wicklund is right. Soy is up but the same goes for the other commodities. So, the short-term development is unfortunately negative. But again we have been there before. And I guess we will see a mean reversion also this time around when the negative factors are played out.
Kim Dosvig: Okay. Then another question from the investors [indiscernible]. How do you think Mowi is handling the algae bloom in Chile better than the other players?
Ivan Vindheim: Yes. So, we don't like to talk about our peers or about our colleagues and friends in the other companies. We like to talk about our self. But I think we have managed well this time around. We learned a lesson back in 2016. So, now we have sophisticated mitigation systems in place that really helped us this time around. In addition you also need some luck in this. So, even the best farmer runs into problem once in a while. So, Mother Nature is a very important component in this. But all in all I think we managed well really. And not only because of luck, but also because of the mitigation systems we have in place and a good husbandry and good people. So, good people and good equipment really makes a difference too. So, you need both. Luck good people and the right equipment. I guess that sums it off. 
Kim Dosvig: And then his second question is on sales in Asia if we can comment on the sales development in that region.
Ivan Vindheim: Yes. So, maybe you Kristian can take this one.
Kristian Ellingsen: We have seen a very good development in Asia in the quarter as we stated. Most regions in Asia have seen a good volume development with China is still as we said minus 27% versus Q1 last year. But in general, we've seen a double-digit growth in the various regions. And we believe also China is on the road to recovery. There have been some issues related to Chilean imports and some positive developments when it comes to Norwegian region into China. So right now we are seeing some new lockdowns in some of the regions, but difficult to say exactly how that will play out. But we believe in any case that any impacts on foodservice is temporary and we will continue to see reopenings over time in Asia and a combination of increases in foodservice and retail.
Kim Dosvig: And then a follow-up question from Bjørn Wicklund. He is asking us if we can comment on our perspectives for farmed salmon becoming compliant with the EU taxonomy?
Ivan Vindheim: So that's a tricky one. So if you ask us our personal view is I guess it's a no brainer. We really think to salmon, it ticks off all the boxes. But in the end of the day, it's not up to us to decide. So -- and it looks like it will take time before the commission conclude. Also for the other industries, this doesn't seem straightforward, but salmon is the part of solution in our view. And if we really want to take down the greenhouse gas emissions, we have to change the way we consume food, food is accounting for 25% of the greenhouse gas emissions. So it makes a difference. And Salmon is the most sustainable animal protein out there in terms of greenhouse gas emissions. So it makes sense to eat more salmon, more fish, it's also very healthy. So we live longer, we also become smarter. So again, eat more salmon. And then we of course also have to produce more salmon. That's been a little bit challenging for the industry over the past few years, but it looks like there is some underlying growth in that regard. So to back to the commission and this taxonomy it's really hard to answer. We don't know. But our personal view I guess is quite obvious.
Kim Dosvig: Yeah. And that concludes the questions we have received so far from the investors and analysts.
Ivan Vindheim: Thank you, Kim, and thank you to all of you who spent time on us this morning. And things are improving out there. Let's hope that we get 100% ship shape all of us markets, economies, societies et cetera. We meet again in August. Meanwhile take care all of you.